Operator: Good morning, everyone, and welcome to Portland General Electric Company's Third Quarter 2019 Earnings Results Conference Call. Today is Friday, November 1, 2019. This call is being recorded and as such all lines have been placed on mute to prevent any background noise. After the speakers’ remarks there will be a question-and-answer period. [Operator Instructions]. For opening remarks, I will turn the conference call over to Portland General Electric’s Director of Investor Relations and Treasury, Chris Liddle. Please go ahead, sir.
Chris Liddle: Thank you, Liz. Good morning, everyone. I'm pleased that you're able to join us today. Before we begin this morning, I'd like to remind you that we have prepared a presentation to supplement our discussion which we'll be referencing throughout the call. The slides are available on our website in investors.portlandgeneral.com. Referring to Slide 2, I'd like to remind everyone that some of our remarks this morning will constitute forward-looking statements. We caution you that such statements involve inherent risks and uncertainties, and actual results may differ materially from our expectations. For a description of some of the factors that could cause actual results to differ materially please refer to our earnings press release, and our most recent periodic reports on Forms 10-K and 10-Q which are also available on our website. Leading our discussion today are Maria Pope, President and CEO; and Jim Lobdell, Senior Vice President of Finance, CFO, and Treasurer. Following their prepared remarks, we will open the line for your questions. Now, it's my pleasure to turn the call over to Maria.
Maria Pope: Thank you, Chris, and good morning, everyone. Welcome to Portland General Electric's third quarter 2019 earnings call. Today, I will share an overview of our financial results, earnings growth expectations, and an update on our 2019 integrated resource plan. Jim will provide more detail on our financial results, and we will address questions. Despite a mild summer in the Pacific Northwest, we delivered solid third quarter results and are reaffirming our 2019 earnings guidance of $2.35 to $2.50 per diluted share, expecting to be in the lower half of the range. Turning to Slide 4. For the third quarter, we reported net income of $55 million or $0.61 per share, an increase of $0.02 per share compared to 2018 and an increase of $0.12 per share excluding last year's gain associated with the Carty cash settlement. Power costs were key driver for the quarter. In 2018, we experienced higher costs due to high temperatures, pull wind, and hydro conditions, and plant outages. In 2019, we saw improvements in most areas, good wind production, good thermal plant performance, and low regional power prices. The exception was hydro generation, which was 14% lower than last year. We also had a one-time charge of $3.9 million related to the Western Energy crisis almost 20 years ago. Additionally, we saw higher O&M costs largely from increased spending on wildfire mitigation, vegetation management, fitness, and other related areas targeted at overall reliability and system resiliency. Shifting to earnings guidance. Last quarter, we talked about lower power costs and higher revenues from industrial customers supporting our full-year forecast. So we've made some headway on power costs. We’re now expecting to be at or slightly above the PCAM baseline for the full-year versus the year-to-date results of $5 million above the baseline. Industrial customer revenue driven by high-tech manufacturing and data centers has remained strong year-to-date. However, we're revising our load forecast guidance from 0.5% growth to flat year-over-year as commercial and residential demand has declined. Most of this load is decoupled, and as such, does not impact earnings. Slide 5 provides an update on the economic conditions of our service territory. Despite revisions in the load forecasts, the economy in our service area continues to grow at a healthy pace. In migration and growth in high-tech manufacturing and data center expansion is driving long-term load growth expectations of 1%. This past February, we introduced a three-year earnings growth rate of 4% to 6%. We're working hard to drive efficiencies and to improve performance. We're focused on investments that create a safer, smarter, more resilient grid that supports our customers’ reliability, and decarbonization goals. Overall, we're managing costs with the goal of keeping customer price increases at approximately inflation. Key actions include preparing for the closure and sight remediation of the Boardman coal plant, being more efficient as we improve our workflow, crew dispatch efficiency, and leverage advanced metering and other technologies, moving to the cloud to improve data analytical capabilities, and taking advantage of low interest rate environment to refinance higher cost debt. These efficiencies help offset annual cost inflation, higher depreciation, and targeted investments. Our 2020 capital forecast of $865 million is $140 million increase compared to the forecast shown last quarter. The increase in 2020 reflects spending for infrastructure resiliency initiatives in support of customer growth as well as replacing aging infrastructure. In December, we plan to file the renewal adjustment clause tariffs for the Wheatridge Renewable Energy Facility, which is expected to come online in late 2020. The facility is anticipated to have an $0.08 per share impact on 2021 earnings. Turning to Slide 6, I'd like to discuss the 2019 IRP. The regulatory process is well underway. Last month stakeholders and the staff of the Oregon Public Utility Commission filed their comments in response to PGE’s initial filing. To summarize, our plan, we're calling for additional renewable resources by 2023 approximately 595 megawatts of capacity by 2025 as well as additional energy efficiency and demand response. We will continue to work with parties on recommendations as we move towards a final acknowledgment order expected in late January. Following this decision, we anticipate launching an energy RFP process with the outcome to be determined before year-end 2020. We're currently working through parties comments regarding the timing and structure of this RFP. As mentioned during our last quarterly call, we continue to discuss capacity contract terms with existing renewable generators, as we aim to produce the least cost, least risk portfolio. I'll now turn the discussion over to Jim to provide more detail and discuss our financial results.
Jim Lobdell: Thank you, Maria, and good morning, everyone. As Maria mentioned earlier, our earnings per share of $0.61 is up $0.02 from the comparable period in 2018 and up $0.12 when excluding the Carty cash settlement in 2018. Moving on to Slide 7, I will walk through our waterfall comparing the favorable results from the third quarter 2019 to the third quarter of 2018. First, gross margin increased a total of $0.26 per diluted share. Several factors contributed to this result. High power costs in Q3 of 2018 was the main driver and were due to a combination of factors that Maria mentioned including higher market prices, increased demand, the coal strip outage, lower than expected wind output, and below normal hydro production. In contrast, in Q3 2019, our power cost benefited from increased wind and thermal production, which helped offset the impact of lower hydro. Market prices were also lower than in Q3 of 2018. All of which contributed to an improvement towards the PCAM baseline. In addition, a decrease of $0.04 is attributable to favorable weather that we experienced in 2018. There was minimal weather impact in 2019 due to a 5% decrease in cooling degree days when compared to normal. Add to this an increase of $0.03 per share, attributable to increased earnings power from our 2019 general rate case and the decoupling mechanism also contributed an increase of $0.03 per share. Next, higher distribution expense was driven primarily by the continued focus on preventative maintenance associated with wildcard mitigation, as well as changing our vegetation management practices by conducting our trimming biannually. We are also conducting a pole inspection and replacement program through our service territory. These efforts are being undertaken to enhance the safety and resiliency of our system, which will help reduce costs in the long-term. A decrease of $0.10 is attributable to the benefit that we experienced in 2018 from the Carty cash settlement; a decrease of $0.06 is attributable to customer service and administrative expenses. These costs are primarily associated with three areas. First we are continuing to make investments in our new billing system associated with stabilization and enhanced configuration. Second, we're incurring higher expenses attributable to upward cost pressures on medical benefits. And third, transitioning to our New [ph] 2, our new cloud-based systems has required us to make small write-offs related to old systems. And the final item is a $0.01 decrease attributable to other miscellaneous items. Switching gears to regulatory matters, Governor Kate Brown nominated Mark Thompson to join the Oregon Public Utility Commission. This appointment would replace Commissioner Steven Bloom confirmation by the Oregon Senate is not expected until the short legislative session scheduled for February of next year. Moving on to Slide 8, we've provided a summary of the company's current capital forecast from 2019 to 2023. These updates represent projects that prioritize the safety and resiliency of our infrastructure. The increase is primarily attributable to growth in large customers, substation upgrades, reliability upgrades that are generating facilities and projects that further develop an integrated grid. These projects will improve reliability for our customers and reduce operating costs in the long run, as we aim to keep the impact of our cost and customer prices near inflation. On to Slide 9, in October, we demonstrated our ability to access low cost sources of capital with the issuance of $279 million of first mortgage bonds at a rate of 3.34% high demand for this offering was indicative of our strong cash flows and credit worthiness. A portion of the proceeds was used to redeem our 6.75% series first mortgage bonds and will reduce interest expense by about $1 million per year. Operator, we’re now ready for questions.
Operator: [Operator instructions]. Our first question comes from Julien Dumoulin-Smith with Bank of America. Your line is now open.
Ryan Greenwald: Good morning guys. This is actually Ryan Greenwald on for Julien. Thanks for taking our questions.
Jim Lobdell: Good morning Ryan.
Maria Pope: Good morning.
Ryan Greenwald: So after guiding to the lower end of your range for 2019, how should we be thinking about and how are you guys kind of framing growth into 2020, especially kind of given that you threw out this 4% to 6% long-term growth target now?
Maria Pope: So the changes that we're expecting that were driving us to the lower part of our range should have no impact on 2020. And, as you know, we will be providing 2020 guidance on our February call after we close the books for the year.
Ryan Greenwald: Got it. And then in terms of the IRP process, and the RFPs, any color you can kind of provide there in terms of your early expectations?
Maria Pope: Yes. I think we're working through the process. The IRP is focused on meeting the needs of -- for renewable energy and the desire across the state for accelerating the decarbonization of our energy supply. This is in line with Senate Bill 1547, and meeting or exceeding our proportion of the state's decarbonization goals through 2050. So we're going through the normal process of discussion and debate on the IRP. There's a lot of analysis that has been provided to staff and interveners and we're welcoming people's comments and just working through the process. We would expect to have an outcome in the first quarter, probably by the end of January.
Ryan Greenwald: Got it. But too early right now to tell us to handicap anything in terms of your ability to win generation?
Maria Pope: Too early to tell. The other issue is, is that the IRP will just determine what resources we need. After that, we will follow-up with RFPs. The first is an RFP on renewable energy and that will launch in 2020 and then we're in discussions right now with capacity providers who are largely existing generators in the region.
Ryan Greenwald: Fair enough. And then, just lastly, in terms of the upcoming CapEx roll-forward, how should we think about the drivers and the puts and takes of upside opportunities relative to your current plan with the latest update and absent any generation opportunities?
Maria Pope: So we provided an update in our capital forecast that includes about an additional $140 million in 2020 and then minor adjustments after that. That's really the forecast that we're providing at this point in time. We're really pleased that we're getting after some of the investments that we need to in our region for resiliency and reliability. And also as we see customer growth long-term, we have some additional infrastructure particular substations for new and growing customers in the high-tech manufacturing and digital areas.
Operator: Our next question comes from Insoo Kim with Goldman Sachs. Your line is now open.
Maria Pope: Good morning, Insoo.
Jim Lobdell: Good morning.
Insoo Kim: Good morning. Maybe starting with load growth, I definitely appreciate the fact that a lot of the changes in net load on the residential/commercial doesn't really have an impact given that the decoupling when you look at the amounts that the customers that do impact that, you're not really seeing any change in terms of the momentum towards the upside on growth in your area?
Maria Pope: No, the primary drivers of the load growth change was really ongoing energy efficiency. We don't see any change in the key drivers around our industrial and commercial customers, in particular, large data centers, high-tech manufacturing continue to be very strong and on pace with expectations.
Jim Lobdell: Yes. And we're also continuing to see strong customer count growth of up 1% in addition to we're seeing a bit more energy efficiency occurring in the commercial space same time.
Insoo Kim: Understood. And my second question, maybe more longer-term I know the Colstrip retirement currently slated for 2020 -- is slated for 2030. At which point or what kind of considerations and timing would you be thinking of in trying to decide whether that timing would be accelerated for potential retirement?
Maria Pope: So as you can imagine in the Pacific Northwest, there's lots of discussions going on between Montana, Washington, Oregon, all related to the Colstrip plant. We currently are depreciating the plant through 2030 and continuing to have ongoing discussions around coal in our portfolio.
Operator: Our next question comes from Travis Miller with Morningstar. Your line is now open.
Travis Miller: Just some more detail on that $140 million of CapEx. Can you break that down into not specific projects but maybe specific buckets of projects that you found more spending in?
Jim Lobdell: Travis, the areas that we’re focused on where we've basically called them out in the script and it is -- we're seeing as Maria said more growth in large customers that's putting a significant increase there. We're seeing increase in resiliency work that we're doing inside our service territory as far as substations. And then we're seeing additional work just in the overall maintenance of the system itself. Those are the primary drivers in addition to the ones that we've identified previously, regarding the integrated operating center, the Wheatridge facility, and then the automated distribution management system.
Travis Miller: Okay. Was anything related to any changes in your IRP or then the related RFP generation assumptions at all?
Jim Lobdell: No.
Maria Pope: No.
Jim Lobdell: No. We have always taken the approach that until we know the outcome of an RFP; we wouldn't put any additional capital for those potential generating items that is.
Travis Miller: Okay. Then a different subject you mentioned highlighted the debt refinancing, how much more capacity is there to refinance and what would be general estimate of interest cost benefit that you could get there in the next year or two?
Jim Lobdell: Well, it really depends on how far interest rates are going to continue to go down because that created the opportunity for us to take that 6.75% out and to look at other tranches that we have. So all I can say is stay tuned and we'll watch it and let you know as things transpire. But we are looking throughout the company is turning every rock that we can find over in order to find opportunities to save money for our customers.
Maria Pope: In general, our existing interest rate and debt portfolio is pretty good. We've enjoyed low rates for a long period of time.
Travis Miller: Sure. Okay. And then just real quick on the Wheatridge, I wonder if you could give any kind of updates, in terms of where the project is right now?
Maria Pope: So the project is currently, they're just about to break ground and start the civil work. There is a lot of engineering and procurement has taken place and we're on track for wind to go, be finished on the next year or so. And then, we will see solar and the battery storage come online.
Operator: Our next question comes from David Peters with Wolfe Research. Your line is open.
David Peters: Just on the increased CapEx this quarter and what you did last quarter with the integrated operations center, how are you guys thinking about financing needs next year? Do you maybe foresee the need for any equity? And then just kind of related to that, how are you thinking about timing of an ex-rate case potentially?
Jim Lobdell: On the financing of the CapEx right now, we're assuming that we do not need any additional equity to be able to do that, that we'll do it with cash from operations and from additional financing. So we will take on next year. Regarding the question of the next rate case we will let you know as we go through, when we start providing guidance for 2020 and 2021 and so on and so forth. Our goal is to try and stay out of a rate case as long as possible.
Maria Pope: We're focused really on cost reductions in our operations and being more efficient, and being very mindful of customer prices.
Operator: Our next question comes from the line of Greg Reiss with Centenus. Your line is now open.
Jim Lobdell: Good morning Greg.
Greg Reiss: Hey guys. Hey, how are you?
Jim Lobdell: Good, thanks.
Greg Reiss: Just kind of looking into 2020, do you guys envision being able to earn your authorized ROE on just the average 2020 rate base that you guys will have next year?
Jim Lobdell: Well, Greg, as you always know we've got that structural lag out there associated with costs that we're not recovering.
Greg Reiss: Yes. Thanks.
Jim Lobdell: That's always headwinds for us.
Greg Reiss: Yes. But outside of the structural lag, which has kind of always been there, do you anticipate being able to earn the ROE?
Jim Lobdell: Yes, we are anticipating that taking into account that structural lag that we will be able to.
Operator: Our next question comes from Gregg Orrill with UBS. Your line is now open.
Maria Pope: Good morning.
Gregg Orrill: Hey, good morning. What guidance updates do you expect to provide on the fourth quarter call?
Maria Pope: We'll provide guidance for 2020 earnings.
Jim Lobdell: So it will EPS, hydro wind, O&M costs, things of that nature, the typical that we do. And then any changes to the CapEx that we might have at that point in time.
Operator: [Operator instructions]. Our next question comes from the line of Vedula Murti with Avon Capital. Your line is now open.
Vedula Murti: In the California and in Pacific Northwest, we've been seeing environmental efforts being made to curtail natural gas. We’ve seen some states in California, city Seattle is considering an option -- considering a proposal. And, I'm just wondering, I've read a few things about such activities being potentially initiated in Oregon and specifically in Portland. And I'm wondering if you can comment about that? And two, kind of the opportunities that would over some time that would present itself to you should such curtailment of gas development materialize?
Maria Pope: Certainly, Vedula. Good morning. There are a number of discussions going on at the county level, a variety of different cities in our area around climate and around admitting resources. As we know, electricity is the cleanest form of energy and we're engaged in all of these discussions. Some of them are relating to manufacturing, some are relating to heating, in particular buildings in our core of Portland. But I think more importantly for reducing carbon, there's a lot of focus around electric vehicles in our region. And we're engaged in a number of those conversations and have a terrific partnership with TriMet, our transit authority, as they transition much of their fleet to electric. They've announced their intention to convert two of their bus depots to all electric. They have got 90 electric buses targeted for their fleet right now and have; I think there are about 9 or 11 buses that are all electric today. Just this past weekend, we opened up our fourth electric avenue in the region and we continue to partner with a number of others in particular Daimler Trucks, who is building electric truck manufacturing in our service territory. So there's a lot going on with regards to this topic and we see opportunity for not only additional electricity, but also additional resiliency and the combination of how we use electricity through batteries and other storage. One thing you should also notice is that next June, Portland will be hosting the Electric Vehicle Symposium, the international, EVS 33 symposium will be here in mid-June, next year, so a lot going on in this area. Thank you.
Operator: Our next question comes from Kevin Fallon with Citadel. Your line is now open.
Jim Lobdell: Good morning Kevin.
Kevin Fallon: Good morning, hey how are you? I'm sorry if I missed it or not, but on the IRP, on the capacity need, it says in the release that you guys are considering putting in a benchmark resource, would that be a rate base opportunity or is that like PPAs how would that work?
Jim Lobdell: It is to be determined at this point in time.
Kevin Fallon: Okay. So it's not necessarily rate base, but it's also not necessarily rate base.
Jim Lobdell: Agreed.
Maria Pope: Correct.
Kevin Fallon: Okay. And just some clarity on the O&M costs on the second quarter call I think you've raised the range by about $15 million and I think you highlighted that pull-forward of vegetation management for 2020 was part of it. Is it -- should we be looking at roughly that $15 million delta as kind of goes away in 2020 versus 2019.
Jim Lobdell: No, I think we're going to see an elevated level of vegetation and wildfire management. And we are paying close attention to what's happening in California and there's a lot of lessons to be learned as to the challenges that they're facing. And so we are paying particular attention to our system to make sure that we will not find ourselves in any type of a situation that they're in and so a lot more due diligence. I think every utility is probably doing exactly the same thing.
Maria Pope: We were pleased to see in the third quarter our O&M costs come down a little bit more in line with our expectations versus the higher levels we had in second quarter.
Kevin Fallon: Can you give some color on where you're trending in the $600 million to $620 million range with one quarter left here?
Jim Lobdell: No, not at this point, Kevin.
Maria Pope: Well, right in that range. Operator I’m not showing any further questions.
Maria Pope: Thank you. Looks like we don’t have any -- sorry, I did -- looks like we don't have any further questions. Thank you for joining us today. We appreciate your interest in Portland General Electric, and we look forward to seeing those of you who will be in Florida at EEI as well as those of you who will join us in February at our fourth quarter results and guidance. Thank you very much.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.